Operator: Good morning, ladies and gentlemen. Welcome to Vale's Conference Call to discuss the 2023 Second Quarter Results. All participants are currently in a listen-only mode. At the end of the presentation, we will provide instructions on how to participate in the question-and-answer session. This call is being translated simultaneously to Portuguese. [Operator Instructions] As a reminder, this conference is being recorded, and the recording will be available on the company's website at vale.com in the area for Investors. The slide presentation that accompanies this call is being broadcast on the Internet and is also available in the Investors' area of the company's website. There is a Slide 2 second delay between the audio and slight changes compared to the audio transmitted via phone. Before proceeding, let me mention that forward-looking statements may be provided in this presentation including Vale's expectations about future events or results, encompassing those matters listed in their respective presentation. We caution you that forward-looking statements are not guarantees of future performance and involve risks and uncertainties. To obtain information on factors that may lead to results different from those forecast by Vale, please consult the reports Vale's files with the U.S. Securities and Exchange Commission, SEC, the Brazilian Comissão de Valores Mobiliários, CVM and in particular, the factor is discussed under forward-looking statements and Risk Factors in Vale's annual report on Form 20-F. With us today are Mr. Eduardo De Salles Bartolomeo, Chief Executive Officer; Mr. Gustavo Pimenta, Executive Vice President of Finance and Investor Relations; Mrs. Deshnee Naidoo, CEO, Vale Base Metals; Mr. Carlos Medeiros, Executive Vice President of Operations. Mr. Eduardo Bartolomeo will begin the presentation on Vale's second quarter performance. And after that, he will be available for questions and answers. It is now my pleasure to turn the call over to Mr. Eduardo Bartolomeo. Sir, you may now begin.
Eduardo De Salles Bartolomeo : Thank you very much. Good morning, everyone. I hope you are all well. Let me start with a very significant milestone that we delivered and announced last night. We signed a strategic partnership with world-class diversified investors for the energy transition metal business. This partnership attributed a very attractive valuation for our ETM business, which shows that our partners recognize the value generation potential of our assets and how uniquely positioned they are. This is an encouraging starting point for what we believe is a powerful platform for growth. I will give you more details during the presentation. Now, let me cover our operating results. We delivered a solid production performance for our business this quarter. In Iron Solutions, we are growing quarterly output year-on-year while our all-in cost declined yearly and quarterly. We are so commissioning to Gelado dam, which will increase availability of pellet feed for Brucutu operations and improve the average quality of our portfolio. In Energy Transition Metals, Salobo III is ramping up ahead of schedule with a solid contribution to our copper growth year-to-date. In nickel, we are firmly marching towards our annual guidance. Moving on to the management. We reached the first deadline for implementing the global industry standard for tailing management, the GISTM with a positive outlook. All of our prioritized structures are in conformance with the standard with ongoing action plans to ensure that the best practices are in place. This is part of our commitment to being a safer company for our employee's, communities, and society. On top of that, our discipline in capital allocation remains pristine. We announced the distribution of $1.74 billion in shareholder remuneration with payment in September. Since 2021, the total amount distributed in dividends and interest on capital translated into a 27% yield to our shareholders. This shows Vale's, solid track record in creating and sharing value. In addition, our third share buyback program is now 69% complete. Since launching our first share buyback program in 2021, Vale has repurchased about 16% of its share base, representing a concentration in shareholder future earnings of almost 20%. With that, we are walking the talk, delivering in our commitments. So let me go now over some details of our performance. Next slide. We reached the end of the first half of 2023, with strong results and a positive outlook being well positioned to deliver the production guidance for 2023. In Iron Solutions, asset reliability initiatives have started to bear fruit this quarter and driving the solid performance across our three systems. We set a new production record for a second quarter at S11D, Itabira and Vargem Grande performed very well as well and our mix improved substantially. As I mentioned, talk to is finally commissioned, which should allow for more pellet production, improving our mix and average price premium. In Energy Transition Metals, copper production in the second quarter grew 41% year-on-year, mainly due to the section ramp-up of Salobo III and improved performance at Sossego, benefiting from the extended SAG mill maintenance done last year. Copper sales were exceptional for the period, growing 43% year-on-year. Finish nickel production grew 8% year-on-year, given continued solid performance from our Sudbury mines and improved production sourced from Indonesia with planned maintenance in the quarter, Voisey's Bay and long harbor operations had a lower output. Onça Puma furnace is currently operating at over rate in preparation for the furnace rebuild later this year. Despite that, our outlook for 2023 nickel production remains solid. Next slide. We are ramping up Salobo III ahead of schedule with strong production rates. We had an increment of 10 kilotons this quarter versus the first quarter with a total output of 16 kilotons in the first half of 2023 meaning 9% of our total copper output in the same period. Once that peak capacity expected at the end of 2024, Salobo III will add 30,000 to 40,000 kilotons per year of copper to our total Salobo complex output. Next slide. In 2020, we committed to implement the GISTM, the global industry standard for tailing management within the industry time frame. I'm glad to inform that we have implemented the standard for all of our prioritized structures within the first deadline with ongoing action plans to ensure full performance. This is an important milestone in the evolution of our brand management towards the safety of our employees, neighboring communities and society. In addition, we are on track to full conforms for all are taking facilities, not in state of closure by 2025. We are consistently reducing risks associated with our dams and implementing the best international practices in their management, while developing alternative solutions to reduce them use. So, we will continue to deliver on our ESG commitments so that Vale becomes a leader in sustainable mining and a benchmark in safety. Next slide. Finally, talking about our ETM business. As you all know, we have been working over the last 18 months on a series of initiatives to position our ETM business for success. We have completely redesigned our organization, reinfect the business into a single vehicle and a line structure and a dedicated governance. We attracted industry experts for the Board, top talents like Jerome Gian and Macusani, who needs no introduction. In addition, we define management incentive plans tailored to foster business development. All of that to establish a more fit-for-purpose organization, that will allow us to unlock the ETM business value over the next several years. Today, I am very proud to announce the formation of a partnership with world-class strategic investors to ETM, which I'm confident we will create substantial long-term value to all of our shareholders. I am honored to partner with Manara Minerals Investment Company, a new venture between Madden and PIS, the public investment fund, that brings an experience and help us in accessing strategic geographies from, including the iron ore business with our megahertz. I am also honored to partner with engine number one, a reference in sustainability-focused investments with solid ESG creations. The future ahead of us is very promising. The need for a lower carbon economy is a generational challenge, but at the same time, it's an enormous opportunity as this simply will not be achieved without a significant increase in the supply of critical minerals. We see ETM uniquely positioned to play a relevant role in this process. not only because we have a tremendous mineral endowment, but also because we are building the leading ESG future-facing minerals platform in our space. The one that pursues long-term value creation to all stakeholders. We all share the same vision for long-term growth and value creation. And the terms of our partnership is a validation of that. I said we would close a deal only at the right value and with the right partners. That is exactly what we achieved today. So, now, I pass the floor to Gustavo, who will detail the transaction and our financial results, and I'll get back to you on our Q&A at the end, and thank you for your attention.
Gustavo Pimenta: Thanks Eduardo, and good morning, everyone. As Eduardo explained it, this partnership is another important milestone in building a leading future-facing commodities platform with significant mineral endowment and resources, inclusive of reserves, amounting over 30 million tons for copper and 90 million tons for nickel. We see potential for ETM to invest $25 million to $30 million in highly accretive projects over the next decade, growing its copper production from approximately 350 kilotons per year to 900 kilotons per year and its nickel production turn around 175 kilotons per year to 300 kilotons per year. With this exciting outlook, I now turn to the transaction details in the next slide. Given the strong interest to partner with ETM and the high caliber of potential partners, we, together with our Board, decided to accommodate a greater share of investors and increased the equity capitalization to 13%. Considering an enterprise value of $26 million, the implied pre-money equity value from Vale was $25.1 billion. The total net proceeds are expected to reach $3.4 billion, out of which $1 billion will stay with VBM and the balance will be returned to the parent company for future use as per our capital allocation framework. Now, moving to our financial performance in the second quarter. Let's start with our EBITDA. As you can see, we delivered an EBITDA of $4.1 billion, $1.4 billion below the same period in 2022. This decrease is explained by $15 per ton lower iron ore fines realized price and by the $3,000 per ton lower nickel realized prices, following the decline in the reference prices since second quarter 2022. The impact of cost and expenses on EBITDA was relatively small at $96 million, mainly from transitory effects in the nickel business related to the maintenance and higher third-party nickel feed purchases. In iron ore and copper, despite the year-on-year inflationary pressure, costs and expenses improved EBITDA by $218 million. I will go into more details on costs later in my presentation. Sales volumes and by-products helped increase our EBITDA by $154 million as a result of initiatives to improve asset reliability, and we expect to continue seeing these positive results in the second half of 2023. Now on to iron ore costs. Our C1 cash cost ex-third-party purchases came down slightly to $23.50 per ton quarter-on-quarter, even considering a $0.70 per ton negative effect from the Brazilian currency appreciation. Given the significant appreciation of the Brazilian real and now considering an average exchange rate of 4.95% for the year versus our previous assumption of BRL5.20 per dollar, we have adjusted our C1 guidance for the year to $21.5 to $22.5 per ton. This means an expected C1 below $22 per ton in the second half of this year, driven by more Northern System production in the mix and the continuous rollout of our productivity program with gains in asset reliability and procurement initiatives. With regards to all-in costs, our EBITDA breakeven reached $53 per ton, roughly flat year-on-year and $5.2 per ton lower quarter-on-quarter. This can be attributed to the improved product portfolio mix with more northern system ore and lower high silica product sales in addition to greater volumes. We also adjusted our iron ore all-in cost guidance to $52 to $54 per ton for the year. This change is essentially the result of external factors such as the lower all-in premiums due to market conditions and the adjustments in C1 due to the Brazilian real appreciation. Just to give a sensitivity, a $0.10 appreciation of the Brazilian real converts into a $0.30 per ton increase in C1 cash costs, extra party purchases and a $0.50 per ton increase in all-in costs in 2023. In copper, we continue to see gains from higher production at both Salobo and Sossego, which supports the dilution of fixed costs at our operations, higher gold prices and the one-off effect on tax credits contributed to reducing our total costs in the quarter. As a result, our all-in cost was just over $3,000 per ton, approximately $1,800 per ton lower than in the first quarter, which is in line with our expectations with the continued ramp-up of Salobo III. At our nickel operations, our COGS ex-third-party feed increased about 5,000 year-on-year due to lower availability of our own feed, which we were already expecting with the ongoing transition in Voisey's Bay mine and the relatively longer planned maintenance period at Long Harbour. Also in connection with Voisey's Bay, transition and Long Harbour maintenance. This quarter, we have recognized a one-off decrease in the recoverable value of inventories, which were produced at higher costs. As a result, our all-in costs increased year-on-year, but stayed essentially flat quarter-on-quarter at just over 17,000 per ton. The all-in cost guidance for nickel in 2023 has been adjusted to $15,500 to $16,000 per ton, mostly reflecting lower than expected by-product prices and volumes, which we expected to continue throughout the second half of 2023. For the second half, we expect all-in cost to decline, as production increases and no other one-off event materialized. Now moving to cash generation. As you can see, Q2 free cash flow was negatively impacted by working capital, as we had 7 million tons higher accrual sales volumes in iron ore. In addition to higher Brumadinho-related commitments. Also in the second quarter, Vale raised $1.5 billion from bond issuance, whose proceeds were mostly used to repurchase $500 million of higher cost debt and to repurchase $1.4 billion of shares as part of our buyback program. Looking specifically at our capital allocation strategy, yesterday, our Board of Directors approved a distribution of $1.7 billion in interest on capital to be paid in September based on financial results from the first half of the year. Since 2021, Vale generated 27% of dividend yield. Additionally, we continue to see the repurchase of our shares as one of the best ways to create long-term value for our shareholders. Since the beginning of our share buyback program, Vale has repurchased 16% of our share base, representing a concentration in shareholder future earnings of almost 20%. So before we move on to the Q&A session, I'd like to reinforce the key messages from today's call. We continue to make substantial progress in our operational performance and are extremely confident in delivering our production targets for the year. At our Energy Transition Metals Business, we are thrilled with today's announcement and believe the actions we have taken over the last 18 months will position the business to be a winner in the global energy transition. At the same time, we have been taking immediate and consistent actions to improve then safety, being now adherent to the GISTM for all critical structures. And finally, we remain highly committed to a disciplined capital allocation process, as evidenced by today's dividend announcement and the continuous execution of our highly accretive buyback program. Now I would like to open the call for questions. Thank you.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Daniel Sasson, Itaú BBA.
Daniel Sasson: Hi, guys, good morning. Thanks for the presentation. My first question is on the cost front. If you could give us more details on the cost difference between your Northern and Northern Systems that would be helpful and help us understand the evolution of your cost going forward, given the increase of participation of the Northern System, our total mix and our total sales mix in the second half? And if you could remind us of the -- your exposure, what percentage of your Q1 is actually denominated in reas that would be great. And my second question, congrats on the transaction for the base metals division. If you could give us more color on your expectations on the potential contributions from Maaden and the PIF from a strategic standpoint to the development and stabilization of operations in your Base Metals division, that would be great, right? I'm trying to understand that in addition from the interest evaluation that you were able to reap, what is -- what your partners could bring to the table and help us with those with unlocking value in those operations? Thanks a lot.
Eduardo De Salles Bartolomeo: First in the cost, and we're going to detail a little bit more the partnership later.
Gustavo Pimenta: Thanks, Eduardo. Thanks, Daniel, for your question. So on the Northern system, C1 is on the mid-teens. So you can do the math, you see there is certainly a contribution as we bring more volume from the North to our overall mix, right? We've seen some improvement in Q2, and you will continue to see in the second half of the year. Regarding your FX question, I think the best way to look into that is to assess the sensitivity that I've talked about in my prepared remarks. So every $0.10 of BRL appreciation is about $0.30 of increase in our C1. I think that's the best way to look into the overall exposure that we have and $0.50 at the holding. So I'll pass the third question to Eduardo.
Eduardo De Salles Bartolomeo: Thanks, Gustavo. I think, Daniel, thanks for the question. When we discuss the unlocking value for base metals, we always said it's a conjunction of factors, right? It wasn't only the participation. The participation would come, as I mentioned, at the right value with the right partner, one that would see the opportunity down the road and the ability of ourselves to execute it. We are obviously, as Gustavo mentioned, there were several interests in Manara to Maaden together with PIF and then to number one as well. They came up exactly on these two fundamental elements that we believe we will lock value. First of all, they validate the PIF, they are long-term investors. They're not here for spring. They're coming here for the long-term. They bring a sector experience Maaden has partnerships with other several miners. So they will help us as well. And PIF, as I mentioned already, is a long-term value investor. And engine number one, bring ESG credentials, that is key as we are in a business of energy transition. So I believe the validation, the strength in the governance that will happen with them, their help in the sector. And there is a collateral that, of course, is a benefit from us is that we have interest in the Middle East as well with the Mega Hubs, as you know. So there were several elements that added to bring the right partner, people that share the same view, share the same values, they have ESG credentials. So I think they will be very helpful on strengthening the governance because as we've been saying repeatedly, it's all about execution and growth. And with Mark Cutifani leading the board, attracting talents like him, like Jerome, having a fit-for-purpose organization, having partners, this will add up to a convergence of interest? And how can I say that objectives that will unlock at tremendous values because we're going to execute faster and grow faster. Thanks for your question, Daniel. And we are very excited by the way. I think we are beginning a new phase in Vale that will unlock tremendous value for our shareholders and fundamentally for the base metals business
Operator: Our next question comes with Leonardo Correa, Banco -- BTG Pactual.
Leonardo Correa: Good morning, everyone. Thank you. so, my first question is on base metals. Gustavo, you mentioned during the presentation -- the initial presentation that $3.4 billion was the total injection in the transaction, but you mentioned that $1 billion would stay at VBM and $2.4 billion would be returning to Vale, right? I guess there were some doubts on how much would stay at the energy transition unit. So, I think you clarified that. I just wanted to confirm. And this $2.4 billion that's flowing back into Vale, I mean, where would we see that being allocated? I mean I can imagine the key question would be if that would be return to shareholders in a form of a special dividend or continued aggressive buyback. So, the question is, what will Vale do with the $2.4 billion that's returning to the company. or that's staying at Vale and not being allocated to VBM? The second question still on cash returns and still for you Gustavo, I mean from your approach and just analyzing what Vale has been doing, right, you announced you're basically paying the minimum dividend based on the formula, right? And you're allocating all the exit, right, towards a very aggressive buyback, which has been on pretty much Vale's cards over the past quarters, you allocating something around $1.4 billion, $1.5 billion per quarter of buybacks. Even with the changes in interest on equity, right, which in -- will probably be extinguished, I mean, do you think that's the same tone going forward. We should expect minimum dividends being paid and all the balance on the buyback. Is that still the way to go? So those are the two questions. Thank you very much.
Gustavo Pimenta: Thanks, Leo, for your questions. So, on the first one, yes, we wanted to provide more clarity in terms of where the money will stay. So, based on what VBM is able to generate on an ongoing basis plus their own balance sheet, we've -- we came to the conclusion that $1 billion was sufficient to fund the business for the next three to four years based on the plan that they have. So the rest is indeed moving back to the parent. It will come into our overall pool of cash, and we will then allocate based on our capital allocation framework that we know very well. So -- that links to the second conversation. I'm very happy with the way we've been allocating capital over the last couple of years. I think we are creating significant value for our shareholders, either through a very healthy dividend payment or the share buyback at a very attractive level. This is certainly a conversation that we have constantly with our Board, and we'll bring more clarity in terms of how we keep going on this one, but you should continue to expect us to be very disciplined and very focused on creating long-term value for our shareholders.
Operator: Our next question comes with Vanessa Quiroga, Credit Suisse.
Vanessa Quiroga: Thank you, and congrats on the transaction. I have a couple of questions. One of them is regarding the agreement with the partners. Is there any optionality for off-take for the partners as part of the agreement? And will they have any dividend -- I mean, any rights to receive dividends from Vale in the future? And the second question is related to -- the second question is related to -- I would like you to review basically your corporate governance protection to be able to avoid any student change in leadership at the company, Vale. Thank you.
Gustavo Pimenta: All right. So Gustavo here. The first -- on the first one, yes. So on the -- there is no special dividend anything like that on the agreement. I think the agreement is very proportional to the final stake of each one of the partners. There is some commercial discussions that we've had, an agreement that we've had with our partners, and it's all based on market conditions. And that's pretty much it. So it's very attractive from a governance standpoint for us. If anything, it just opens up new markets for Vale, right, including the opportunity for us to deploy our products in the Middle Eastern
Operator: Our next question…
Eduardo De Salles Bartolomeo: No, no. Wait a minute we have to answer the second question still. On the corporate governance I think it's a very important question from Vanessa is that we've been -- since I think 2017, I mistaken when we entered Novo Mercado, we've been improving the governance. So I think Vale's governance is fit for purpose for a world-class organization like ours. So I believe that -- we are in good shape. We have independents. We have representation. We have lead independent director. So I think the corporate governance is the right-sized to avoid any problems that we would eventually have.
Operator: Our next question is from Carlos De Alba, Morgan Stanley.
Carlos De Alba: Yes. Good morning. Thank you very much and congratulations on finally executing the transaction. I wanted to maybe step back and think about -- how do you see the path forward now for VBM, given whether you accomplished, I guess, where presumably is the first step or the first two steps in that – in what you want to do with this company in the future. Do you want now to concentrate on improving operations, and then potentially do an IPO, or see what opportunities are there to buy or merge with another entity and you further increase the already attractive pipeline of rate that you have. If you could comment and provide any color that will be really useful? I have another question, but maybe I can ask it after the first one.
Eduardo De Salles Bartolomeo: Okay, Carlos thanks. Your question is extremely important, because as I mentioned before, it's a path. First of all, it's execute. That's why the partners are relevant in that sense because they are not -- how can I say that short-term investors or short-term viewers on this matter. That fit-for-purpose organization that we mentioned that is designed already, its ring-fenced, as I mentioned, is the first step. The acquisition of talents like Jerome and Mark will go under the first hurdle that is execute on existing assets. Of course, we still have gaps to fulfill. There's two projects that are ramping up. So we believe that's the first and most important challenge that we have to keep on doing as we've been doing. The difference, I believe, with this new design or this new arrangement is speed. The second one is growth. With a more dedicated organization, we believe that the projects, the attention, the drives will help us on accelerate that growth. When those two things merge and will take a while, is not something you need to take two, three years, I don't know. We will see what kind of demand we will have? What kind of opportunities we will have? I don't know if Gustavo wants to complement. But fundamentally, it's a path to execution, a path to growth and eventually opportunities that will arise later, right? Of course, there's capital allocation opportunity as well.
Gustavo Pimenta: Yes. I think you covered well Eduardo. I think the key message for us here is also optionality. I think this transaction creates options that otherwise Vale wouldn't have to fund the opportunities that will come along. So we are very excited because I think we are -- through a series of actions over the last 18 months, I think we are setting this business for success, creating options that otherwise we would not have and a more focused organization, which over time, I think we all believe strongly that it will create significant value for our shareholders.
Carlos De Alba: Thank you, Eduardo and Gustavo. And Gustavo maybe -- the second question I have, you could address is the following. So Vale has a dividend policy that is based on EBITDA generation minus sustaining CapEx. But assuming that iron ore prices were to come into some pressure, EBITDA will come down, sustaining CapEx, you may have some space to bring it down, but presumably there is a minimum level that you want to do, so that you maintain the integrity of your operations and assets. So there is a little bit of -- little room to maneuver if EBITDA comes down by not as much as your free cash flow generation impacted by the repayments of the Brumadinho, Mariana accident towards the dam characterization. So meaning it is conceivable that your free cash flow yield could be lower than your dividend yield as suggested by your dividend policy. So how do you see this situation, why would the company do in such scenario? Clearly, the balance sheet is strong, and you could sustain a dividend yield higher than your free cash flow yield by potentially not for too long. So I just wanted to explore how do you see this? And if there is a possibility potentially to change the dividend policy, or maybe I'm just mistaken and the -- the payments and the expenses of the marina that are adjusted out on EBITDA and some calculations are not adjusted out with the dividend policy purposes.
Eduardo De Salles Bartolomeo: Yeah. That's a good question, Carlos. So look, those -- I think first thing is those expenses or disbursements are temporary, right? So over a period of time, they will be heavier, and then they will, over time, reduce which will free up cash down the road. In the very immediate term under the scenario frame, I think we will have the ability to even use our balance sheet, and we've been doing this, as you've noticed. We have a very strong balance sheet, amortizations, debt amortization is very smooth over the years. You've seen us doing a lot of liability management in the last two, three years pushing out amortization, which would give us a lot of breathing room for us to accommodate and continue to deliver on our dividend product. So we are -- this is very critical for us, and we'll continue to be very disciplined in terms of delivering on the policy that we have.
Operator: Our next question is from Thiago Lofiego, Bradesco BBI.
Thiago Lofiego: Hi. Good morning, everyone. First question -- congratulations on the base-metals deal. And if I may go back to Carlos question, which was in the lines of what makes that are. And I'll be more specific in my question here, which is, would you consider a next set being a potential sale to a larger strategic shareholder now that you have the valuation kind of like a temp, would you pursue larger steps in terms of bringing in larger partners to validate metal or is an IPO a higher probably scenario, or you're not thinking about any of those to scenarios and just thinking about the operating turnaround. And then my second question to Medeiros, if I may. Medeiros, could you please talk a little bit about the main initiatives you're focusing on at the operating side? What the main upsides are. We understand the licensing bottlenecks, resuming production story. But from your perspective, are there any other major levers that you're working on to bring production efficiency and operating efficiency? Thank you.
Eduardo De Salles Bartolomeo: Okay. Thiago, thanks for congrats and thanks for the very specific question. Yes, there is no -- the path now is execution. What we have -- the focus now as we arranged every piece of the puzzle. We have a partner, we have a structure. We have the people. We have Marc. We have Jerome, we have Deshnee, we have -- we have our structure execution. That's the -- there are primary focus. But as Gustavo has mentioned, the amount of investment that this business will require down the road, the optionality is in our hands. Is that an IPO? Could be. Is a merger? It could be, but it's not in our minds now. Our minds are totally focused on the execution, okay? I hope I have been more clear now. This is something for down the road two to three years to think about. For now, now that we did the deal, let's focus on accelerating the fee -- how can I say that -- filling the gaps or closing the gaps on the execution and accelerating growth, as I mentioned before. And then two, three years down the road, I don't know, we might -- and then as Gustavo mentioned, the optionalities will be all in our hands. We haven't think about that yet. Okay. I hope I have been specific an answer due this time. And I'll pass to Medeiros to answer your second question.
Carlos Medeiros: Thiago. So the main points have been working in the operational side is basically asset reliability in all systems. So that's a point where we believe there is the most -- that is most room for improvement? And clearly, we saw some results in the last quarter. Besides the reliability, there are some specific points that vary from system to system and also the geography where I believe there is the biggest opportunity for upside is sLNG in terms of reliability. Yes, this is the main point.
Operator: Our next question is from Amos Fletcher with Barclays.
Amos Fletcher: Yes, good morning, gentlemen, and thanks for the opportunity I just wanted to ask a question about the separation of VBM. Will it be run effectively with a separate balance sheet? And will that influence Vale's net debt target and cash returns policy. So for example, if VBM is free cash flow negative, for example, are you going to carve that out from Vale's adjusted net debt when you think about shareholder returns? Thanks.
Gustavo Pimenta: Hey Amos, Gustavo here. No, given the larger share of participation, it will be all consolidated still. But certainly, they will be able to fund themselves with their own either generated cash, being able to raise capital and that, potentially, that it's -- for now, we are expecting to be recourse. But over time, as the business matures, we may be able to change it, but at this point, given that the size of the participation from Vale. It will continue to be consolidated and treated as such. So, no change in the policies at this point.
Operator: Our next question is from Rodolfo Angele, Banco JPMorgan.
Rodolfo Angele: Hi, good morning. My first question, I just wanted to confirm the cash that stays at BBM of $1 billion, you mentioned this is what you see as what the company will need for the next three to four years. Did I get this right? Gustavo, can you just confirm this?
Gustavo Pimenta : Yes. Rodolfo, because the company -- I mean, the way we are setting the company up is there is no debt. They want to very conservative balance sheet. We are adding $1 billion of cash, plus they do generate good cash flow. So that combination will allow them to fund what they have planned for the next three to four years, certainly assess maybe new opportunities to invest may come up. But at this point, based on the plan, that's what we have. So the rest, the $2.4 million will come up to the parent.
Operator: The next question is from Rafael Barcellos, Banco Santander.
Rafael Barcellos: Good morning. Thanks for taking my question. My first question about the base metals, I mean, firstly, congratulations for the deal. You mentioned that the Vale base metals division is expected to invest around $25 billion to $30 billion the next decade in strategic projects, right? So could you please give us more color on how would you believe that the funding of this investment plan would be? I mean, overall, how are you thinking about the capital allocation strategy for this division. If there is any risk that you could change the dividend policy to have the dividend policy more related to the iron ore division just to understand how are you thinking about that? And the second question, I mean, about the iron ore business. So Vale finally received the license to operate the total them, which, of course, will improve its ability to produce more pellet feed. So my question is just to understand what can we expect in terms of ramp-up, I mean, we will already see these effects in the third Q or more to the fourth Q ordering that, I mean, I remember that the Bruco II [ph] complex used to produce like 30 million tons before the Brumadinho tragedy and it's now at a run rate of 20 million tons. So just to understand whether or not the Bruco [ph] complex could return to a run rate of 30 million tons in the short-term, okay? Thank you.
Gustavo Pimenta : Thanks, Rafael. Gustavo here. So on base metals, there will be a ramp up for us to get to the $25 billion to $30 billion of investment in the next decade, right? So I think the deal that we are doing now allows us, as I mentioned a couple of times, to create options for us to fund those growth could be internally generated cash. Their own balance sheet, but could be others, right? Vale could continue to fund its proportional, but we could also access capital markets, either public or private as we just did. So I think we are opening up different alternatives, and we will assess at its due time, right, three to four years from now, if we need to make a large investment, we will assess where the market is and what is best for our shareholders. So that's the first one. On Torto, it's already in operations. So in terms of benefit, it's about $50 million a month, not in terms of volume, but quality. So it's already there. In terms of bringing up to 29, the number that you've quoted, it will take some time, a couple of years still because there is some work that we need to do in terms of waste disposal, which will require some licenses. So the first stage was really to improve the quality of the 21 million tons, 20 million tons that we currently produce. So we'll start to see this already in the P&L. The ability to ramp up still requires some license, especially for waste disposal, which we are working on
Operator: The next question is from Rodolfo Angele, Banco JPMorgan.
Rodolfo Angele: Yes, thanks for getting back to me. I had a second question for management. So the question is really about VBM again. The ambition is really enormous, right? We're talking about tripling copper, doubling nickel. So the question is really, do you have that mapped out? Is this going to be done at the current assets, or is that at this point, a target, a goal for the company, and you're going to be evaluating greenfields, M&As. And kind of this ties back to my first question because I felt like $1 billion was a bit shy given the ambition. So just wanted to hear your thoughts on that. Thanks again for getting me back on it.
Eduardo De Salles Bartolomeo: Thanks. But apologies for cutting you off earlier. So yes, the $1 billion is mostly due to the ramp-up profile. So it takes time for us to materialize some of those opportunities. But look, I think one of the unique competitiveness of our ETM business and from our perspective that is what attracted these partners and many others that were interested in and be part of this is the fact that ETM or Vale-base Metals is sitting in a tremendous amount of resources, right? And three of the most relevant mineral jurisdictions in the world. So Brazil, with Carajas, you have Canada and then you have Indonesia, right? So we have a tremendous endowment. So I think the key message that we want to convey here is there's two elements of value unlocking. There is one which is continued stabilization of the operations that we have, which Mark is working with Deshnee and being very focused on that. And then there's a second stage, which is how we anticipate the development of that endowment, right? How we bring more projects faster to the market. We see tremendous opportunity to unlock value, a good level of returns, mid-to high double-digit returns, and that's what we are going to go after. So we don't need to do any M&A, large M&A, a large transaction to get to that future. I think we can do with their own resources that we currently have.
Operator: Our next question is from Tyler Broda, RBC.
Tyler Broda: Great. Thanks very much, gentlemen. Congratulations on the transaction. My question is on the nickel assets in Canada, I guess, in general, both Voisey's Bay and Sudbury have kind of underperformed this year. I know from the site visit last year that this is going to be a multiyear process. But I guess, how do you sort of assess what's gone wrong this year? And then just secondly, with that, I guess, is how does Mark Cutifani’s [ph] presence started to affect that? Like what's Mark doing in particular in his role? Thanks very much.
Eduardo De Salles Bartolomeo: Okay. Tyler. I'll let Deshnee go over the first point about Voisey's Bay, and I don't agree that it's not going as planned. I think it is like plan. That's why exactly we have this gap between the seat for Long Harbour, but anyhow, but Mark -- funny is a person that had worked with us. I worked with him when he was still in Incoa that time and when we acquired Vale. I think Mark brings a total alignment in the way we see how to fix a problem, but he has done it and track record. So, he already is with us. We are doing an asset review with top specialists to see exactly how we can accelerate things that are already undergoing and other elements that are -- he is going to Chair, the Board, of course. I will be there together with Pimenta. So, this kind of focus will -- as I've been saying, help us to accelerate. So, Mark is the right asset, the right guy at the right time, in the right place with the right partners, exactly like our other partners that I've mentioned before. And I stash him to go up over Voisey's Bay because we are very excited with how we can actually go down underground and extract value that -- has.
Deshnee Naidoo: Thank you for that, Eduardo and thank you, Tyler. So as you mentioned, the Investor Day that we had. So, in Sudbury, the challenge has been on development and very happy to say that the development that the team is achieving this year is more than double what we've achieved last year, and the tons are coming to plan. But as we've guided at Vale Day, the challenge we have in February, some of the one-off maintenance activities that we have, including things like the create and cage one-off. So, that's why you're seeing the slight decrease, but exactly as Eduardo say, the tons are actually coming to plan and we're very satisfied with the performance. But as we also guided in Vale Day regarding Voisey's Bay. Voisey's Bay and in fact, the entire V&L entity will be in transition for another 18 months or so. And the reason for that is we are busy ramping down the open pit, which is near completion right now and ramping up the underground mines. But sticking very disciplinely to our P&P schedule. We then took Long Harbour down for a two-month P&P this past quarter. So, both transitions in terms of the tons as well as the P&B came together to give us what looks like a horrible quarter but I can assure you it is to plan. And just echoing what Eduardo said about Mark, Mark and I have already started working together. We are putting together something that looks like a pathway to value plan. And in addition to what Mark brings from an expertise point of view in terms of helping the management team and myself, we do have the likes of Tony O'Neill and some of the other industry experts helping us with an asset review that we will then use to look at how we can unlock the full potential outside of the current initiatives to fix and get back to the run rates that we need. Thank you
Operator: Our next question is from Alex Hacking with Citi.
Alex Hacking: Yes. Good morning. Thanks for the call. So, two questions. Firstly, could you maybe give us an update on the outlook for mining taxes in Brazil? And then secondly, could you maybe discuss the role that engine number one will play in in base metals. The fund does have some history of being quite active in its investments. Thank you.
Gustavo Pimenta: Thanks. Alex. So, on mining tax, I think we -- mining tax, I think we are following closely all the discussions in Brazil lately. It's also important to remind -- always important to remind that our sector is highly taxed already compared to others when you take the full taxation in consideration. So we are feeling good about where we are heading towards. Of course, everybody like everybody monitoring closely potential impacts, but so far so good. and we'll continue to monitor that closely. In terms of Engine 1, we've met then talked to Chris, James and team over the last several months about this opportunity. And we are highly aligned in terms of the Vale – see long term. And I'm sure he and his team are very excited to join Vale base-metals, and we are thrilled to have them joining. I think he will be a very important strategic voice to help us drive value in the long term. So we are excited, very aligned long term and looking forward to working with them.
Operator: This concludes today's question-and-answer session. Mr. Eduardo Bartolomeo, at this time, you may proceed with your closing statements.
Eduardo De Salles Bartolomeo: Okay. I'm just going to echo Gustav's point in the end. I think we are very confident that the middle of the year that we are with a stronger operational performance in all of our assets. ETM, as we were able to discuss today has a tremendous opportunity ahead the puzzle is done. Now it's a matter of execution and growth. Very happy to be able to conform with JSTM Vale. It is going to be a reference in the management we started earlier. And of course, we have the obligation with society to be referenced on that and JSTM is a very welcome standard to protect ourselves and society. And lastly, as was discussed during the call as well, there is no doubt about our capital discipline. Everything that we do here is on the way to create value for our shareholders and, of course, for all stakeholders, society, our employees. And the ones that we think, by the way, that had a hard time to create this transaction that everybody perceived how much value there is in the assets that Vale owns and will extract. As I always say, we are in a marathon, and we are in a kilometer 25 now, and we're going to get there. And the ones that come together with us, surely, you're going to benefit from that. And thanks a lot for your attention and see you in the next call.
Operator: Vale's conference call for today is now concluded. Thank you very much for your participation. You may now disconnect.